Operator: Greetings and welcome to Digirad Corporation's First Quarter 2017 Results Conference Call. At this time, all participants are in a listen-only-mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce to your host, Ms. Risa Lindsay. Thank you Ms. Lindsay, you may begin.
Risa Lindsay: Thank you, Michelle, and thank you all for joining us this morning. If you didn't receive a copy of our press release and would like one, please contact our office at 858-726-1600 after the call and we'll be happy to get you one. Also this call is being broadcast live over the Internet and maybe accessed at Digirad's website via www.digirad.com. Shortly after the call, a replay will also be available on the Company's website. I would like to remind everyone that certain statements made during this conference call, including the question-and-answer period, are forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 and other federal securities laws. These forward-looking statements include but are not limited to, statements about the Company’s revenues, costs and expenses, margin, operations, financial results, acquisitions and other topics related to Digirad’s business strategy and outlook. These forward-looking statements are based on current assumptions and expectations and involve risks and uncertainties that could cause actual events and financial performance to differ materially. Risks and uncertainties include, but are not limited to, business and economic conditions, technological change, industry trends, changes in the Company’s market and competition. More information about the risks and uncertainties is available in the Company’s filings with the U.S. Securities and Exchange Commission, including annual reports on Form 10-K, quarterly reports on Form 10-Q and current reports on Form 8-K as well as today’s press release. The information discussed on this morning’s conference call should be used in conjunction with the consolidated financial statements and notes included in those reports and speak only as of the date of this call. The Company undertakes no obligation to update these forward-looking statements. Hosting the call today from Digirad is President and CEO, Matt Molchan. Joining Matt this morning is Jeff Keyes, Digirad’s CFO. Matt and Jeff will discuss the 2017 first quarter financial results, update us on the Company’s strategy and comment on the Company’s outlook. A question-and-answer period will then follow. With that, I would like to turn the call over to Matt. Good morning, Matt.
Matt Molchan: Thank you, Risa. Good morning everyone and thank you all for joining us today for our first quarter 2017 results conference call. The first quarter was good cash generation quarter for Digirad. Revenues were $29.1 million and adjusted EBITDA was $1.8 million. Free cash flow was $1.4 million for the quarter which was $1.7 million greater than our first quarter last year. As we announced this morning we’ve experienced some operational challenges within our mobile healthcare business unit which is part of the DMS Health acquisition that we closed on January 1, 2016. This business unit which includes our trailer based mobile diagnostic imagining activities achieved revenues of $10.7 and a 11% decrease year-over-year, mostly driven by lower utilization of our provisional fleet. To correct this situation we made some adjustments and focused in alignment to more closely follow and manage our core customers while continuing to pursue and grow revenue. Specifically these adjustments included change in leadership within the business, some operational adjustments including more closely aligning sales and operational activities and adding additional resources to our provisional sales efforts. We believe these are exactly the right moves and we’re very confident of success. Obviously, the assets are still there so the earnings power is still there. So when this business unit suffers from poor utilization revenues and margins are significantly impacted. We believe we have now stabilized this business unit and we expect this year to return to growth in 2018. Regarding our other business units our diagnostic services which includes our in-office mobile diagnostic imaging activities, Digirad Imaging Solutions or DIS and our cardiac monitoring business Telerhythmics perform well in the quarter. Diagnostics services revenue was $12.2 or 2% increase year-over-year benefitting from higher volumes from existing customers as well as volume from new customers. Our diagnostic imaging business finished the quarter with total revenue of $2.8 million which was about $800,000 decrease year-over-year. But overall, we’re disappointed we did not have an increase in year-over-year revenue for the quarter, we do believe that this is essentially related to the timing of our deal flow we’ve right now and we expect capital equipment sales will increase as we progress through the year. We also expect to end the year with positive year-over-year growth for this unit. Our medical device sales and service business or MDSS finished the quarter with revenue of $3.4 million which was slightly lower than the same period last year. Timing of capital purchases also affected this business unit with a number of potential deals pushed out for later in the year. As stated each quarter, our overall corporate strategy at Digirad to focus on three main areas for growth. Area number one, acquisitions, our goals to acquire companies that fit within our business model providing healthcare solutions on as needed, when needed and fair needed basis they are very financially disciplined manner. Area number two, adding new services to a portfolio that we can provide to our current distribution channels and area number three organic growth within our existing portfolio of services and challenge and channels. As always F&I remain committed to sourcing the right opportunities for the company. Of course we cannot predict the time and potential acquisition or any particular outcome but in the mean time we will continue to run our cash generating businesses. Now I would like to turn the call over to Jeff for his comments in a more detailed financial update for the quarter and year. Jeff.
Jeff Keyes: Good morning everyone. In the earnings release today and in my comments, I will make references to both GAAP results as well as adjusted results. The adjusted results are non-GAAP and do not include non-recurring charges such as those associated with acquisition integration cost and purchase intangible asset amortization. I will make references to adjusted EBITDA, which is also a non-GAAP measure that further excludes depreciation, amortization, interest, taxes and stock-based compensation. Finally, I will make references to free cash flow which is a non-GAAP measure taking operating cash flow and subtracting cash pay for capital expenditures. We believe that presentation of these non-GAAP measures along with our GAAP financial statements in reconciliation provide a more thorough analysis of our ongoing financial performance. You can find the reconciliations of our results on a GAAP versus non-GAAP basis in the earnings news release today. As previously discussed, we closed on the DMS Health acquisition on January 1st, 2016. The results of DMS operations are included in our results for the entire quarter and for the year-to-date period since January 1st, 2016. Therefore our results for the first quarter of 2017 are comparable year-over-year for the same period of time for the same business. Next, I’ll give a brief summary of the quarter's activity. Total revenues for the first quarter of 2017 was 29.1 million compared to 31.2 million for the same period last year. Our overall gross profit percentage in the first quarter of 2017 was 24.4% compared to 29.1% in last year's first quarter. In diagnostic services revenues for gross profit expenditures for the first quarter was 12.2 million and 23.2% compared to 12.0 million and 21.2% in last year's first quarter. In our diagnostic imaging business, the revenue and gross profit percentage was 2.8 million and 40.5% compared to 3.6 million and 47.9% in the prior year first quarter, overall the revenue increase in our diagnostic services business was positively impacted by higher volume and service stage ran in the first quarter of 2017 compared to the prior year from both new business and higher volume from existing customers and our diagnostic imaging business lower overall revenue gross margin was impacted by the volume and mix of camera sold as Matt mentioned earlier. Our mobile healthcare business produced revenues and gross margin in the first quarter of 2017 of 10.7 million for the gross profit percentage of 14.8% compared to 12.0 million and 26.4% in the prior year. MDSS had revenue and gross profit percentage of 3.4 million and 45.6% in the first quarter of 2017 compared to 3.6 million and 52.8% in the prior year as Matt previously discussed it has some challenges with our mobile healthcare business primarily in our shorter term provisional business which we are addressing. In MDSS the change in revenue and gross profit percentage is mainly attributable to the timing and type of capital equipment business with our partnership with [indiscernible] we do experience some seasonality in our service business and not withstanding other factors the fourth and the first quarters are slower quarters for our mobile healthcare and diagnostic services businesses while the second and third quarters being our higher revenue quarters. Also our MDSS and diagnostic imaging business we can experience some seasonality related to the timing of equipment sales and capital budget timing of our customer. Now withstanding acquisition we would expect this trend to continue as we move forward. Moving on to bottom line results for the first quarter adjusted net loss was 0.2 million or $0.01 per diluted share compared to net income of 1.3 million or $0.07 earnings per diluted share in the first quarter of last year. Adjusted EBITDA was 1.8 million for the first quarter of 2017 compared to 3.7 million in the first quarter of last year. As a reminder we do have a credit facility with Wells Fargo that we use to help fund the acquisition at DMS health. This credit facility has three components. Line of credit that has borrowing base up to 12.5 million and bears interest at LIBOR plus 2% and tranche has a borrowing base of up to 20 million and varies interest at LIBOR plus 2.5% and amortization over seven years and tranche fee that has total borrowing basis 7.5 million and varies interest at LIBOR plus 5% and amortizes over 3 year. On March 31, 2017 our weighted average interest rate on all on our overall credit facility with 3.81% and total principal down to withstanding with 20.6 million, our net debt position less all cash and equivalents securities and available for sale, restricted cash was 15.3 million. On March 31, we had no outstanding balance on our line of credit leaving an availability of 6.2 million on our credit agreement revolver. Going forward we may make extra payments on our credit facility depending on cash need and the goal of deploying our cash for the highest and best use relative to our capital allocation and value. And finally we announced our regular quarterly cash dividends of $0.5 per share that will be paid on May 30 the shareholders are record of May 15. Now I would like to turn the call over to the operator for question.
Operator: Thank you. [Operator Instruction] Our first question comes from Andrew D'Silva with B. Riley & Company. Please proceed with your question.
Andrew D'Silva: Hey good morning guys. Thanks for taking my calls. Couple of quick ones here. Your guidance year-over-year top-line it seems pretty much flat but EBITDA is going down a little more meaningfully, can you provide color on what the margin pressure is there and what the rational is there?
Matt Molchan: Well, hi Andy good morning. How are you doing? Generally the revenue guidance is obviously the combination of all our businesses but the EBITDA pressure that we mentioned has to do with our mobile healthcare business and this primarily related to the timing and utilization of our provisional business I mean overall we expect some revenue growth across our DS business and across our businesses in general but mobile healthcare has been impacted in and so the resulting EBITDA is the impact of that utilization of those fleetassets.
Andrew D'Silva: Could you help me understand that just a little bit better I guess because when I when we are doing our models mobile healthcare services side of the business is generally lower margin and then the product offerings are generally equipment offering are generally higher margin businesses right. So if your revenue staying largely flat year-over-year and your decline is in services business and I’d assume that some of the offset for it to stay flat would be through the equipment side of the business which is higher margin. So in that in and of itself results in your gross margin increase?
Matt Molchan: Hey Andy it's Matt. Well, a couple of things. So where we see some of that growth is in the DS side of the business which is not the product side. So that's a good portion of our business comes from diagnostic services where we did experience growth in the first quarter we anticipate to continue to grow that business in for the rest of the year. And that is a lower margin business than our product business.
Andrew D'Silva: Okay fair enough, and then can you give a little bit color on CapEx obviously just little interested there since you had DMS for a year, I wanted to get a sense of what the new run rate is from maintenance standpoint at least?
Matt Molchan: Sure. So overall Andy we expect on average that maintenance CapEx will be $4 million to $5 million a year however on a year-by-year basis it can even flow based on the timing of capital equipment we deploy and what our maintenance windows are as an example we spend almost 6 million in 2016 but in 2017 we expect to spend in the low $3 million range. On average we think it's going to be in that $4 million to $5 million but it can vary on a year-to-year basis because some of the assets we put in place at mobile healthcare larger in nature and occasionally it might be opportunistic to put something in place based on looking our forward in the future.
Andrew D'Silva: Got it. Okay and then just kind of touching more on mobile healthcare when did you start to notice some of these utilization issues I suppose. It seems like at least, when I was reading [indiscernible] based on the conference calls previously that integration is going well and things were running smoothly it was just hiccup that happened in the first quarter or there is something I was there that maybe I missed during 2016?
Matt Molchan: It's definitely more I would relate it as a hiccup in the first quarter in terms of just asset utilization I mean that's really our provisional business in that – in the mobile healthcare business is basically when we are taking an MRI or HTT or unit and we are placing it in the very short term manner at a hospital system for a – where we’re doing renovation where they might be doing upgrade as they take one of their own systems down before they can turn on the new system this provisional business kind of serves as a stock gap this business is very transactional in nature. It's very short term in nature as well, and very opportunistic as well so we in the first quarter at January this is really where we were seeing that the opportunities that we had seen in the previous quarters were not materializing. The deals were not available to us. We had and then we had unused utilization of our equipment which led to our first quarter result performance. So very temporary though we have restructured the business to rift a better focus ourselves on the transactional nature of this portion of our business. We have redirected some of our sales team and added to our sales team to really focus on this very transactional business and as our guidance is showing we anticipate that we will recover and this was very temporary. We still have all the units. We still have the earning power that those units carry and we still have the ability to fulfill the needs that are out there in the healthcare market for these types of resources.
Andrew D'Silva: Got it. Can you give me maybe a little bit more doubling in effect, can you give context customer dynamic that you start doing in the quarter and maybe little bit more long term as well so are you seeing that maybe in the fourth quarter you had potential utilization placements that could be taking place that just fell off due to cancellations or were they more of a structural issue where you had customers that are no longer your customers and so that is in maybe an opportunity that won't reoccur going forward?
Matt Molchan: Yes, it's really opportunistic right so it's just matters about getting in the flow of capital equipment as capital equipment is being put into different hospital systems and what not we would they would have the need for this temporary service. So it's where it might just be two weeks it might be four weeks it might be six months. And then it's also very dependent on how long that cycle takes in that hospital system it just everything came together in the first quarter where we had units that were coming off of short term situations that were revenue in the third and fourth quarter but they came off in the first quarter and because of the lack of the sales focus on this transactional business we didn't have a next step for those units and they went underutilized. So it wasn't a matter of we have lost customers or this is the statements that you are making are more long term in nature. This is a short term in nature business. It is very dependent upon the opportunities that are out there but it's also very dependent that you stick with your – stick on it you have the right resources dedicated to it and focusing on it and that was what was lacking and so that's why we had to make those changes based on what we were seeing coming January with our provisional fleet in the utilization of our fleet, so now we have a more focused group that are working as that transactional business and we anticipate that we as we are putting our guidance we anticipate that we will recover and that this will just be a temporary situation.
Andrew D'Silva: That was a very helpful answer. Thank you. Last question the [indiscernible] contest maybe a little color on what this strategic idea for you is to be involved with that with 1000 share ownership and then I mean funding the proxy contest maybe give us little context, how much it costs and how much costs, thus far.
Matt Molchan: So from a strategic standpoint Andy, Digirad continues to look for high value opportunities for our company and for our shareholder. So we as you know a major portion of our growth strategy is growth to acquisition to add accretive acquisitions to Digirad and we feel that we had an opportunity to get involved in a situation with a healthcare company that has the value and so we are participating because we feel like the situation has the opportunity to bring long term deep value to Digirad and to our shareholders. In terms of the cost that you mentioned the cost is less than $100,000 but all that is expected to be recovered if successful with this proxy contest.
Andrew D'Silva: So the cost was $100,000 in the first quarter or $100,000 expected total.
Jeff Keyes: So it was $100,000 as the first quarter Andy I don't think we have an estimate of what total cost would be but we would expect it be significant.
Andrew D'Silva: Okay. Perfect, thank you for answering my question. Good luck moving forward.
Operator: Thank you. Our next question comes from Larry Haimovitch with HMTC. Please proceed with your question.
Larry Haimovitch: Good morning gentlemen.
Matt Molchan: Good morning Larry.
Larry Haimovitch: Andy has covered a lot of the ground that I was going to cover. Totaling up on the couple of things the acquisition has it seems from my standpoint not quite deliberate what you would hope and I am wondering if there were some management issues at that and acquisition telling that maybe one has a parent that are now becoming the parent now. Is that reasonable way to look at some of the challenges there Matt?
Matt Molchan: Well, we definitely had a focus issue and it was something that I would say that we have corrected and that did involved unchanging some of the management that was brought on during the acquisition. So certainly that is something that we have addressed and certainly we feel like we are in very recoverable situation obviously with the guidance that we are putting forward and but yes that's something that we have – we accessed and we addressed. I would say this though that the acquisition we feel is still a very positive acquisition for Digirad and we feel that we have 15-16 months after the completion of acquisition our management team feels very comfortable and very much in control of that business and very excited about the opportunities that lay in front of us with that acquisition and through that acquisition.
Larry Haimovitch: How many changes were made there? Are they not necessarily a numbers but are we talking substantial management changes or modest management changes?
Jeff Keyes: No problem. Yes basically the leader of the business that came over with the acquisition is no longer with us. And then there were additional changes as well but that was the most significant piece of it.
Larry Haimovitch: Okay. So do you feel at this point you have got the right leadership in place to get this business moving better again?
Matt Molchan: I do I believe we are focused I believe that we have got a good plan and we are out there executing it. Yes.
Larry Haimovitch: On the camera business it seems like it's very lumpy consistently not predictable. Is that – is there anything you can do about that or is that just the way that the business is?
Matt Molchan: Given the size of that business it's going to be lumpy. It's going to be seasonal too I say seasonal lot of it is function of different funding cycles now that we are selling the majority of our cameras, hospital systems very dependent upon fiscal years starting and stopping within hospital systems lot of that – a lot of our business will continue to be strong in the fourth quarter weaker in the first quarter but certainly the business will continue to kind of map that type of trajectory were we are going to have higher fourth quarters and lower first quarters and then there is timing in between the quarters when we can get some of these things done. Certainly, we have other systems that have quarter end in June 30, so those also kind of tend to lend us to have a nicer second quarter maybe slower third quarter higher fourth quarter and slower first quarter. But we look at it on annual basis and that's how we guide.
Larry Haimovitch: Okay and then I can't remember the words you used on the last conference call but it sounded like some sort of, I wouldn't call corporate restructuring but maybe special dividend maybe I don't remember your words well I am sure you remember them much better than I but could you address those comments you made in where you stand in that regard at this point?
Matt Molchan: I think it's all opportunistic from the standpoint of looking at our strategy as a business we feel we are a cash generating service and products business operating in a growing healthcare market and we will always continue to look for opportunities and ways that we can deliver shareholder value certainly increasing dividends or things that we have on the table certainly in the past we have brought back shares and then obviously appreciation of our stock through our performance. So all those things are goals of our team of our company of our board to look for ways to continue to grow and increase shareholder return and value.
Larry Haimovitch: It sounded from those comments though that you may have some specific things in mind. I am wondering if those change given that the first quarter was a little bit on the difficult price for you.
Matt Molchan: From a strategic standpoint we have not changed any of our plans, so all those things continue to be goals for Digirad.
Larry Haimovitch: Okay. Thank you very much.
Matt Molchan: Thank you Larry.
Operator: [Operator Instruction] Our next question comes from Ross Taylor with ARS Investment Partners. Please proceed with your question.
Ross Taylor: Thank you. Gentlemen I am trying to get a little bit better handle on the mobile side. You talked about the fact the issues are temporary and you see return to growth in 2018. Your guidance seems to indicate that you don't see a significant improvement in the operating conditions between here and maybe the fourth fiscal quarter or even the next year. Is that a correct read or do you think we should see improvement beginning in Q2?
Matt Molchan: I would say that we will probably have some continued pressure in the second quarter, but specifically as we talk about the mobile healthcare unit as we recover. But it would definitely will have general improvements obviously in third quarter and fourth quarter to meet our guidance but really we are not really putting other than saying that we anticipate that we will be growing in 2018, we are not being very specific in issuing guidance at this time on 2018. It's really just the whole matter of sales is about selling your funnel and executing on your funnel and insuring that you have those opportunities and because of the lack of focus that we had experienced in this transactional business we really had a depleted funnel. That has changed we are back. We have rededicated resources and dedicated new resources to really fill that funnel and to execute on that funnel.
Ross Taylor: And what's the sales kind of horizon from obviously, the funnel is empty because there has been lack of effective selling effort or even selling effort it sounds like from what you are saying. What's the start to finish when you are doing this, when you are going out and approaching these people? Are these things that are done fairly quickly, fairly short term or they are much longer term as a sales I mean does it take six months to take it sell in the space or is this just kind of thing we should expect to see traction much sooner than that?
Matt Molchan: The sales cycle in that particular business that we are talking about is anywhere from one month to six months. So it varies across the board. It varies on the opportunities that are out there and they really are sometimes even sales like shorter than a month. So it is like I said, it's very transactional in nature and it's not dependent on an area or anything. It's really depending on ensuring that you are aware of the opportunities you have the right resources that can find the opportunities the right abilities in terms of the resources that you have available to execute on those opportunities.
Ross Taylor: And what's the competitive environment like? What's the alternative because it sounds like a lot of these is some of them shutting down system either for extended maintenance or to upgrade and things of that nature are they – do they have a lot of options can they look at this and say you want to three, four, five people obviously perhaps market dependent but it would seem that this is not a place where there is a huge amount of options as to I mean these are expensive equipment and it's something that would seem to not well kind of global and mobile?
Matt Molchan: Yes very true Ross, I mean there are certainly there are certain markets that have more competition than others certain pieces of equipment that we have that we are able to use in this force are very unique in terms of the make and design and they completely order exactly what the need is, so it does also very those. So to say there is no competition is not correct to say there is a lot of competition is also not correct. So these are it's really comes down to ensuring that you have the right resources talking to the right people that are aware of the you have available and really managing that to get that equipment to the right places at the right time.
Ross Taylor: Okay, very well. Good luck in getting the situation addressed as quickly as possible. Thanks.
Operator: Thank you and our next question comes from Mitra Ramgopal with Sidoti & Company. Please proceed with your question.
Mitra Ramgopal: Yes. Good morning. I was just wondering if you could just provide a little more color or in minus in terms of the sales process my understanding is each of the business lines have their own sales force and I don’t know what you talked about those maybe the lack of focus on a mobile healthcare side and if you could give a sense to how you are going around or going about sort of fixing the sales force if you have the higher wall from outside or just bring some from the other business lines?
Matt Molchan: Yes. So it was, thank you Mitra and good morning. Yes, what we basically did was there was addition and a little bit of reorganization in terms of focus for some of the sales people who were focusing on other efforts that were not generating the required returns that we had. So we had some sales resources that were focused on some strategic initiatives that were longer term in nature and that was becoming a distraction from this type of very transactional business. So we made some moves we had some people move out of the organization. We had some people move in to the organization that will allow us to better focus on these current opportunities that we have in front of us. So it was net adds to our sales team within the mobile healthcare unit. This all happened within the mobile healthcare unit and there was some reshuffling of some of those resources to better focus them on the needs that we have in this business.
Mitra Ramgopal: Okay, thanks. And what the highlighted again in terms of the long term growth strategy with acquisitions, but given the issues you are dealing with now in terms of mobile is it fair to assume that you properly now looking at anything until maybe 2018 or beyond?
Matt Molchan: Well, we are going to continue to be opportunistic. So we feel like that is something that we will continue as we have stated previously we have a funnel of opportunities that are in front of us we continue to communicate with those opportunities. We are continuing to lot of them are due to whether we are going to be successful in those opportunities I don't have to do with timing and so we continue to keep those opportunities alive and so it's hard to predict the temporary nature of what happened to us here in the first quarter is not putting us in a position where we are going to abandon our acquisition strategy, not at all. We will continue to look for opportunistic opportunities and acquisition continue to look the funnel and those opportunities and we will continue to look to execute as timing and opportunities comes available.
Mitra Ramgopal: Okay. Thanks and then coming back to the first quarter I know you mentioned the seasonality was a bit as normal if you can give us sense maybe how much of that softness is probably to the seasonality side of things versus the mobile healthcare?
Matt Molchan: Definitely majority of the change was due to mobile healthcare. But there was normal seasonality in terms of our services businesses as well. So that's where we really did not experience a lot of seasonality changes and although it continues to be whenever you are running a mobile business when you are moving from one side to the next, during the winter you are going to always going to continue to have challenges but within the services business within our not our provisional units, but just our mobile units within DIS and also within mobile healthcare we actually experienced growth year-over-year in terms of the number of schemes that we provided and what not. Not to that point the seasonality hit us hard. Really the seasonality that we are addressing is what we experienced on the product side of the business where due to different capital cycles and what not the seasonality of shifting into a new fiscal year where we had a very strong fourth quarter, we didn't have we kind of cleared out and booked and shipped the orders in the fourth quarter and we didn't have a lot of carry over into the first quarter that helped us in having new orders just because the new fiscal year and also some there continues to be in healthcare market a lot of uncertainty and that uncertainty definitely translates into delayed purchases. So all of that working together really is what we experience in the product business in the first quarter.
Mitra Ramgopal: That's very helpful and given you mentioned the uncertainty I know it's still very early in terms of any repeal of [Obama care], so to speak I am just wondering if you can give me big sense big picture how you sort of view it right now I mean did you really benefit much from ACA or you see this is sort of probably not a big issue for you?
Matt Molchan: Yes, I mean from the standpoint of the uncertain we feel like that is, that occurred in the first quarter due to a lot of -- obviously new election, new president and what not but we are not really experiencing it now in the second quarter in terms of seems like if all system go. Certainly certain parts of our business were affected by ACA and on some on the good side, some on the bad side. So for us overall because we are in a product business where we can sell equipment or we can just outsource a equipment to be used in our operational manner we get hit on both sides of it. Overall if ACA continues or if ACA goes away we think we feel the overall impact at Digirad will not be tremendous either way. But, we do feel though that when there are changes and when there is uncertainty injected into the situation that does cause delays mainly in capital purchases.
Mitra Ramgopal: Okay thanks and then finally, Jeff as a quick question. How should we view the tax rate for 2017.
Jeff Keyes: So the tax rate is going to be in the low 40%, its right around 42% to 44% Mitra. There could be some slight tweaks based on calculation of NOL utilization on a year-by-year basis but overall we expect GAAP right to 42% to 44%.
Mitra Ramgopal: Okay thanks for taking the questions.
Operator: Thank you. There are no further questions at this time. I would like to turn the call back over to Mr. Matt Molchan for closing remarks.
Matt Molchan: Thanks Michelle, as always we appreciate all our shareholders and your continued feedback and support. We remain very excited of our business and Digirad's future. Jeff and I look forward to discussing our results in business update with you next quarter. Thank you.
Operator: Thank you. This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation and have a wonderful day.